Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Alarum Technologies' First Quarter of 2024 Corporate Update Conference Call. [Operator Instructions] This conference is being recorded today, May 21, 2024. Before we get started, I will read a disclaimer about forward-looking statements. This conference call may contain, in addition to historical information, forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 and other federal securities laws. Forward-looking statements include statements about plans, objectives, goals, strategies, future events or performance and underlying assumptions and other statements that are different than historical facts. These forward-looking statements are based on current management expectations and are subject to risks and uncertainties that may result in expectations not being realized and may cause actual outcomes to differ materially from expectations reflected in these forward-looking statements. Potential risks and uncertainties include those discussed under the heading Risk Factors in Alarum's annual report on Form 20-F filed with the Securities and Exchange Commission on March 14, 2024, and any subsequent filings with the SEC. All forward-looking statements whether written or oral, made on behalf of the company are expressly qualified by these cautionary statements and such forward-looking statements are subject to risks and uncertainties, and we caution you to not place undue reliance on these. At this time, I'd like to turn the call over Shachar Daniel, the company's CEO. The floor is yours.
Shachar Daniel: Thank you very much, and welcome, everyone, to Alarum Technologies' first quarter of 2024 earnings results conference call. As is customary, with me is Shai Avnit, our Chief Financial Officer. In this call, I would like to provide a brief review of our business operations, summarize our accomplishments and then turn the call over to Shai who will briefly discuss the financial results of the first quarter of 2024 before we will open the call to questions. We are extremely proud to present our first quarter results, demonstrating continuous growth and successful execution in every aspect of our business, trends that continue with us into the second quarter. We started 2024, recording strong sales months resulted in our highest revenues to date. NetNut's revenues for the first quarter of 2024 totaled to $8.1 million, reflecting growth of 139% year-over-year compared to the first quarter of 2023. The strong momentum is also demonstrated in our net retention rate, NRR. NRR represents the average growth rate for preceding 4 quarters compared to the equivalent period year-over-year of current customers only without the revenues generated from new customers by including upsells and cross-sells on one end and churn on the other end. In the first quarter of 2024, our NRR climbed to 1.66. In addition, the first quarter marked the rollout of our previously announced growth engines with the launch of our innovative products, the Website Unblocker, following our initial product, the SERP API. Already used by customers, the Website Unblocker achieved several key goals. First, it enabled us to cross-sell new products to our existing customers. Second, its advanced innovation attracts numerous inbound requests from new customers, expanding our customer base. Lastly, we received positive feedback from our customers, which is crucial to our reputation and our ability to deliver top of the line products and solutions. During the first quarter, we announced the launch of our revolutionary AI Data Collector product line. This cutting-edge product line represents a significant leap forward in data collection technology, addressing the challenges of time-intensive collector creation and maintenance that have long plagued business across industries. We believe that the AI Data Collector product line will be one of our growth engines for the upcoming years. It's an important milestone in NetNut's roadmap towards securing its share of the data collecting market and will disrupt current web data collection methods and allow users to scrape Internet data tailored to their specific requirements with intuitive no-code interface, the new AI Data Collector will enable users to effortlessly generate data collection within minutes from any source without the need to invest in developing designated data collectors for each website. Beyond the value to customers seeking large-scale data for multiple sources, the value for the company is significant as we will have the capacity to automatically develop and create dozens or even hundreds of new scrapers. One of the primary drivers of the data collection market is the resurgence of AI-based solutions. In the past two years, countless new AI products have been introduced and widely accepted. These two shares a common requirement, in order to deliver solid, solid results, all AI-based products must have access to massive amounts of real-time data with minimal errors. As such, we continue to invest in our fast, robust and reliable network, constantly expanding and enhancing its capabilities to meet the increased demand for data by the AI products. Our dedication to expand our business with innovation and strong value propositions resulted in a record quarter with $8.4 million in revenues and adjusted EBITDA of outstanding $3.2 million, growing significantly comparing to the first quarter of 2023. In the first quarter, we presented an IFRS net profit of $1.4 million compared to a net loss in the same period of 2023, and our non-IFRS net profit increased to $2.8 million. The main difference between the two figures is following the sharp rise of the company's share price with to book non-cash expenses resulting from the fair value increase of all warrants issued in 2019 and 2020 at the amount of approximately $800,000. Before going further, I would like to turn the call over to Shai to discuss the financials for the quarter in more details. Shai?
Shai Avnit: Thank you, Shachar. As I discuss our first quarter 2024 financial results, I will be making comparisons to the first quarter of 2023, unless otherwise stated. Revenue for Q1 2024 totaled $8.4 million, up approximately 47% over the $5.7 million generated in the first quarter of 2023. The 2024 first quarter revenues were driven by a sharp growth in NetNut's revenues, which more than doubled compared to last year. And despite our strategic decision to scale down the consumer business that led to a material decrease in CyberKick's revenues from $2.3 million in 2023 to only $0.3 million in the first quarter of 2024. Gross profit increased to $6.5 million, up 75% from $3.7 million in the year ago period, driven primarily by increased efficiency of resources in the enterprise business and the scale-down strategy of CyberKick's operations, all resulting in a reduction in our cost of revenues. This resulted in a gross margin as a percentage of revenue of 78% compared to 66% only in Q1 2023. Our Q1 2024 operating expenses decreased 6% year-over-year to $4 million, down from $4.2 million in Q1 2023. This improvement was driven primarily by reduced costs in the consumer business, partially offset by increased costs in the enterprise business. I would like to draw your attention to a material noncash expense within our finance expenses line, which had a significant impact on our IFRS net profit. In the first quarter of 2024, we booked $0.8 million of noncash expenses resulting from the fair value increase of old warrants issued in 2019 and 2020 due to the recent rise in the company's share price. These warrants, which primarily are out of the money and are expected to expire in 2025, are booked in our balance sheet as a liability that fluctuates up and down based on the company's share price. Following the share price of the share price, the economic value increased, resulting in these noncash expenses. Also, we accrued in the first quarter of 2024 for NetNut's tax payment for the first time in the amount of $0.4 million as NetNut became profitable for tax purposes. NetNut is entitled to a low tax percentage of 12% only on its taxable income compared to a regular 23% tax imposed on companies in Israel due to its innovative efforts, which entitles NetNut to pay taxes under beneficial tax tracks. We will continue to accrue tax expenses during the year and first payments of these expenses to the tax authorities are expected throughout the year. As a result of the above, net profit for the first quarter of 2024 was $1.4 million or $0.02 basic profit per ordinary share, which equals $0.23 basic per American Depository Share, ADS, compared to IFRS net loss of $0.7 million in the first quarter of 2023 or $0.02 basic loss per ordinary share, which are $0.21 basic loss per ADS. Non-IFRS net profit for the quarter was $2.8 million or $0.04 basic profit per ordinary share, which is $0.45 basic profit per ADS compared to a non-IFRS net loss of $0.1 million in the first quarter of 2023, practically close to $0 basic loss per ordinary share or $0.03 basic loss per ADS. As of March 31, 2024, shareholders' equity totaled $17.1 million or approximately $2.66 per ADS compared to shareholders' equity of $13.2 million as of December 31, 2023. The increase stems from the 2024 first quarter net profit as well as warrants and options exercises. As of March 31, 2024, the company's cash and cash equivalents balance totaled $15.1 million compared to $10.9 million as of December 31, 2023. And lastly, I wanted to touch base on our share count as it stands today. On an outstanding basis, we have around 64.3 million ordinary shares, representing approximately 6.4 million ADSs. On a fully diluted basis, we currently have around 78.2 million shares or approximately 7.8 million ADSs outstanding. With that, I turn the call back over to Shachar.
Shachar Daniel: Thanks, Shai. Alongside our ongoing business activities and our efforts to support our growth, we're continuously planning for the future and advancing our roadmap to potential solutions for data analysis and insights. Similar to our latest strategic decisions we have taken in the past two years that have proven to be very successful, we invest many resources in choosing the right path for us when it comes to the next generation of our data collection solutions and offering. For that end, we established a special in-house committee, which includes Yorai Fainmesser recently appointed a Strategic Advisory Board member. As a general partner of a leading AI venture capital, Disruptive AI, and the former Colonel Head of the AI and Data Science Intelligence unit of the Israeli Defense Forces, Mr. Fainmesser brings unparalleled expertise in AI strategy and cyber technology. We are excited about the progress we have made in the last few months in our strategic plans and looking forward to update our investors regarding these plans for the future. All our business plans will keep serving our main goal of presenting solid revenue growth and profitability. Operator, please go ahead.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first questions come from the line of Kris Tuttle with Caterpillar Investments. Please proceed with your questions.
Kris Tuttle: Hey guys, thanks for taking my questions. Another great execution period. A couple of quick ones on housekeeping and then I may circle back. So I understand the adjustment in the finance charges for the warrants. Can you give us what do you expect the kind of run rate number to be on that line, given your cash and whatever interest rate you're getting, if you back out the one-off warrant adjustment number.
Shachar Daniel: Okay. So first of all, thanks for the compliment. But I'm really sorry, can you sharp your question, what is the run rate of what?
Kris Tuttle: Your line with the finance cost which was affected by the warrant...
Shachar Daniel: Okay. You are talking about the non-cash expenses that impacted our IFRS net profit...
Kris Tuttle: Yes, that's correct. But specifically, if you look at the finance expense line on the profit and loss statement, it was negative, it was $848,000. What would that be if you did not have the warrant adjustment in that particular number?
Shachar Daniel: I understand. Okay. Shai, you want to take it?
Shai Avnit: Yes, of course, if we would have taken it out and then you should just subtract around $800,000 from the current figures. So approximately, it will be around 0.
Shachar Daniel: No, the IFRS net profit would be $2.2 million without this...
Shai Avnit: Of course, $800,000 would be added back to our net profit and would become $2.2 million instead of $1.4 million.
Kris Tuttle: Okay. And then related to that, given your cash balance, shouldn't you be earning pretty good interest on that to create a positive variance there in finance?
Shachar Daniel: Shai?
Shai Avnit: Yes. We are creating some interest on our deposits. On the other hand, there are other ingredients that affect the finance expenses or interest line like currency differences between dollar and shekel. And also, we have some interest expenses relating to our strategic funding that are still on our balance sheet under the liabilities. It is around $1 million, so it still carries some interest. So the combination of all of these is deducted some of the interest income we had on our deposits. But as long as we continue to increase our cash balances, then in these cases, other than these fluctuations in the warrants, we do expect to see some interest income going forward.
Kris Tuttle: Okay. All right. And then a couple of quick ones here. Your favorable tax rate, does that have a period of time associated with it in terms of number of years? Or is it indefinite your 12% versus 23%?
Shai Avnit: As long as we meet all the conditions for this beneficial tax track, it is indefinite. And these conditions, we do believe that we will continue to meet them. The most important definitions are basically regarding R&D. It's the number of R&D employees as a percentage of the total employees and the amount of R&D expenses as a percentage of the revenues. As long as we continue to be innovative and increase our efforts in development, then we don't see any issues to maintain this to be in this beneficial track and maintain these beneficial tax rates.
Kris Tuttle: Okay. Excellent. Last housekeeping question. Can you remind us what is the differential between your 64.3 million share count and the 78.2 million fully diluted. What's the delta there, the big part of it anyway.
Shai Avnit: Okay. It's part of many of two type of warrants. One is warrants to investors from various rounds in the past and also from the September 2023 round. And the other part is ESOP just options and RSUs to employees.
Kris Tuttle: Okay. And then the last question, which I think will be of general interest to people is, I'd love to know more about how you're getting your observations on how your customers are responding to some of the new products that you guys are working on, the anti-blocker and some of the advance on your data. And it's with a net retention rate of 166%, your existing customers are clearly ramping their involvement with you. So I'd love to hear more about what you're observing in terms of your customers and your go-to-market and with your current and your new products and then I'll pass the baton to the next questioner.
Shachar Daniel: So as I mentioned in my page, so this year, we launched our major product, which is Website Unblocker. Already in the first day, we had our beta customers basically and regard the product in order to be a kind of partners with us in testing the product in its initial stage, and they expressed high levels of satisfaction, and most of them convert this kind of testing stage to a production stage and acquired subscribed to this product. Of course, it's a product in ongoing development. We are developing and improving. We released the first version. And of course, we are bound to release every few weeks advanced revisions with more features and capabilities. Of course, some of them have come from the market, from the feedback that we get from our customers. But I'd say happy in probably a high level of satisfaction. Customers are testing this product versus our competitor products and see and some KPIs that are significantly better. I will not give that now due to technical KPIs, but in a high level. So basically, and as I mentioned, we are working around the clock for our next major product, which is our AI Scraper or Collector in about a few months, it can be in the end of this year or early in the beginning of next year, we will release our first version of this AI Scraper with all its upsides and advantages, and we look forward also to get an excitement for the market. So basically, we just started with the new products. And of course, our major product, the IPPN, is going very well, as you see in the growth, the retention rates, the NRR, et cetera. Hope it answers your question.
Kris Tuttle: Thanks very much, guys. Appreciate it. Thank you very much. Appreciate your time.
Operator: Thank you. Our next questions come from the line of Tau Jacob with [Epsilon Tau] (ph). Please proceed with your questions.
Unidentified Analyst: Hi. First, I want to congratulate you for the recent excellent results. Your strategic decisions have played a significant role in this success. I have a few questions about the results and the new products that you will launch soon. We see a robust customer base and usage increases from quarter to quarter. However, your current service requires further development and additional functionalities from the customer side, which the AI Data Collector may reduce. So my first question, how do you foresee the impact of the new AI Data Collector on your customers and its potential to expand to your customer base? My second question is do you observe any demand from the current customer that's willing to adopt the service?
Shachar Daniel: Okay. First of all, again, thanks for the compliment. So just for a second, let's organize the data, okay? I think you're a little bit confused about two products, so I will organize your thoughts. Our current product, major product, which most of our revenues coming from is our IP proxy network. This IP proxy network is not related to the AI Scraper and capabilities of the AI Scraper to reduce manual work and do everything automatically. Our current product does not require nothing from our customers besides to start to subscribe to our cloud and to start work. What we mentioned is that today, the market of the scrapers, most of the scrapers or all the scrapers that we are aware of are requiring manual adjustments to websites and data sources from the customer side or from the vendor side, meaning to invest professional services and human hours in order to make the product more robust and to free to the market needs. Our product, our planned product, our future product AI Scraper and the intelligent capabilities of this product will come to express by this, the product insert, will be able to adjust itself to almost every website to the structure of the lending page or the pages, the relevant pages in the website and also to adjust itself to new versions or revisions that each F-Slide is uploading once in a year, two in a year et cetera. And by this for the main advantage, yes, will be one, it will be very fast. Customer does not need to wait for professional services. We don't want professional services. We are trying to do everything as automatic as possible without any human being involved. And second, we will have a huge variety of scrapers, which of course, will leverage us to much more opportunities versus our customers. Hope now it makes more sense to you.
Unidentified Analyst: Yes. Just to make it clear, I pointed my question regarding the scrapers. So currently, do you see any demand for the AI Data Collector from these type of customers?
Shachar Daniel: No. Because it's not that we see or do not see this AI Scraper is in the middle of the development stage, meaning we didn't start even to approach our customers or new customers or current customers. We are not trying yet marketing and sales. We have our own time line. And as time will come, as I mentioned, in the end of this year, in the beginning of next year, we will start to organize as always, with our first beta customers and then go to the big market and start to push it with marketing and sales activities.
Unidentified Analyst: I see. And good luck with this. My last question is regarding the fact that your profitable software as a service company that generate high cash flow. How do you intend to allocate that cash?
Shachar Daniel: Okay. So basically, as I mentioned also in my speech, besides pushing our operation and new products and all the financial indicators. Alongside, we have some strategic internal committees with some experts that joined us, external like advisory board members and others in order to research and investigate what will be our next generation of data collection more in the space of data insights and data analysis, meaning not only to provide the data or the best data for our customers, but also to analyze the data and to provide insights from this data. So what we think now that part of our cash in the future will be allocated for these offers. It can be by internal development. It can be by kind of M&A of a full company or just assets or a combination of both. So we don't have any specific target for this cash. And we guess that in the future, we have so many options and this market is so exciting and so many alternatives and with our hundreds of customers, we think that we have a great space to provide products and technologies that we get an immediate demand of satisfied customers that are basically now using our platform and the products.
Unidentified Analyst: Yes, I see. First of all, good luck, I understand from your answer that in the short term, you intend to invest the current cash into new products that will allow the customer to analyze the...
Shachar Daniel: Again, I don't have any plan to invest this cash because we are profitable, as you see, even a very impressive profitability. And in order to invest this cash, of course, you can invest...
Unidentified Analyst: Internally in development?
Shachar Daniel: No. Also not internally because in order to invest cash from your bank, so the first thing is you need to lose money. Otherwise, you don't need to use this cash. You can use your profits. So basically, we are using our profits now. And you see that after this use of our profits, these are the results. Maybe in the future, we will touch you and there or we will do something big, open a new division, make an M&A, something like that, but for the short term, we don't have any further plans to use this cash.
Unidentified Analyst: Okay, okay. Thank you very much. Good luck.
Shachar Daniel: You're welcome, Thank you.
Operator: Thank you. Our next questions come from the line of Brian Kinstlinger with Alliance Global Partners. Please proceed with your question.
Brian Kinstlinger: Hi, great. Thanks for taking my questions. Nice results. I'm wondering if you guys have an active user count you can provide for the first quarter and how that compared to last year for the continuing operation. I think it's kind of relevant now for the new business.
Shachar Daniel: Do you mean customers count?
Brian Kinstlinger: Yes. What's the installed base? How many customers do you have? And how many did you have a year ago?
Shachar Daniel: Okay. So we have some ways that we are measuring internally our customers' base. in some of the measurements, we do not count more customers that are less than something. And in some others, we are measuring. And we are now working, by the way, Brian, on some new KPIs that we will present to the market maybe in the next quarter also related to, of course, retention churn amount of customers from quarter to quarter. I don't have this formally, so I don't want to mislead now because we are really investigating it, but I can tell you that we almost doubled the amount of customers this quarter comparing to the previous quarter last year.
Brian Kinstlinger: Got it. Okay. Look, I think the customer count would be great in either billings or bookings of some kind of an annual run rate, if you're considering KPIs are two that I would provide anyway. Your net retention rate was 1.66%. Obviously, that's very high. What's driving this? Is it more volume for collection? Is it cross-selling, which I don't think so because your new products aren't contributing... Maybe help us understand. Sorry, go ahead.
Shachar Daniel: So it's both, okay? First of all, the churn rate is low. When I'm talking about churn, it's not only about lost customers, we measure churn as most of our customers are working by bandwidth, okay? So they can use less. So it's a kind of a churn, okay? So the churn rate is in a very good place. And we see a significant amount of upsells, not cross-sells, on upsells, volumes, customers, sometimes, some of our customers when they are starting with us, some of our customers are working in in parallel with few vendors, for high availability to reduce risk, to leverage negotiation on pricing, et cetera, many, many reasons behind. So some of them are starting to work with us in a low volume, testing the product. And when they see the performance and it goes very well because we dramatically improved our infrastructure and IT in every quarter. So they are starting to transfer volume from other vendors to our products. And then you see the volume is going up every month, and it's basically it's an upsell. So it's a combination of upsells, meaning volume, as you mentioned, and great churn rate.
Brian Kinstlinger: Got it. So outside the churn, essentially, you're saying on performance, they're asking you to collect more, you're delivering more data or data collection to your customer base more and more every quarter.
Shachar Daniel: Yes.
Brian Kinstlinger: Yes. Okay. And then we've never really discussed this, maybe you could touch on which industries are you seeing the most demand, technology with AI, financial services, healthcare. Where are the biggest pieces of demand, biggest clusters demand for your products?
Shachar Daniel: Okay. So it's e-commerce always is in a good place. E-commerce is very stable, yes. Of course, there are periods here and there, but basically, it's a great vertical. As I mentioned in my speech, we see an increasing demand from all the intelligence businesses that are analyzing data for their kind of AI companies that are analyzing data for their customers. And of course, they need to collect the data, to stay up to date to train their models, et cetera. advertising companies, always also a stable vertical. And the last few months, we see an increased demand of people data companies that need data in order to investigate if it's from HR perspective or other. I cannot tell you that there is something, it's changing, which is good for us because then we are not relying only on one vertical. So we see the trend here and there every quarter or every month, but basically higher level, these are the major trends that I see.
Brian Kinstlinger: Got it. Great. And then in terms of AI Data Collector, just to make sure I understand, is this an upsell from your IP proxy? Or is this a completely new customer? I'm just trying to understand if this is new functionality for someone who's already using your product, I couldn't understand from your last answer.
Shachar Daniel: Okay. I will expand. Okay. I will explain. First of all, it's not an upsell for sure, okay? It's not a new feature in our product. We have some plans to consolidate, but it's the plans for the next year to do something can be a game changer, but let's keep it aside for a second. Basically, it's not an upsell because customers that are using our IP Proxy Network product, some of them are collecting data with scrapers, some of them are doing it with a lot of things. So it's a cross-sell because basically a customer that is using our IP Proxy product is basically is a high level of interest in data. In order to collect data, Proxy is not enough. You need to have scraper, collector, a product that will help you now. I gave you the key to the room, but now you need to collect from thousands of pages in this or that website, the relevant data for you and basically to move it from unstructured structured data by adjacent file, for example, in order to upload it to your algorithm or data analysis product. So these customers, it might be very relevant for them. And of course, new customers that do not need the IP Proxy because they don't need so many data and they are using only scraper or collector, so I see it here and there. But for your question, it's not a new feature or a nature by nature, upsell or for sure not upsell, it's a cross-sell.
Brian Kinstlinger: Okay. And then in terms of the unblocker, last quarter, you said that would be out of beta in the third quarter, I think. I'm trying to understand, too, from the press release in your discussion, is it readily available for sale now? Or is it still the...
Shachar Daniel: Yes, from the first week one or two days after we launched, let's call it, the general availability version, okay? GA, the production version we successfully already engaged with a few customers, they waited for each product, and we get the amazing feedback. And we are marketing it now. We did an amazing webinar last month, a lot of customers came from this webinar about this product, and it's available.
Brian Kinstlinger: Yes. Now in terms of sustaining the growth rate, what do you need in terms of investing in sales and marketing? Do you need more direct sales people, more partners? What does the company have to do as you get larger, right, it's harder to grow as fast sometimes. What do you need to do in order to sustain growth from a sales and marketing standpoint?
Shachar Daniel: Okay. So basically, Brian, I will answer you very going answer, we have our own phone words, but basically, we have the steps, what you need for every step for every step of revenues or something like this. But if you bring more sales, then you need more marketing and you need more presales and support and some R&D in order to support the highest amount of customers and revenues. So it's not one thing. And of course, you need to increase your network, the global coverage, more servers, more IP addresses, et cetera. So it goes all together. So it's one package. You cannot take only one pillar of the company and push it forward because then you might damage your current customers, the quality of your service, et cetera. So nothing specific.
Brian Kinstlinger: Okay. All right. And lastly, Shai, two questions. The first is, do we assume that 12% tax rate for the foreseeable future anyway? And then second question, I didn't quite understand your answer. What should we expect just on interest on your cash? Should we expect you're going to generate interest or should we not? I'm a little bit confused.
Shai Avnit: Okay. For your first question regarding the tax, yes, we can expect to maintain the beneficial tax rate of 12% as long as the company continues to invest in R&D. If we invest in R&D, then our metrics for the purpose of this beneficial tax track will remain high, and we will be eligible to get these low rates. So I hope this answers.
Brian Kinstlinger: Yes.
Shai Avnit: Okay. Regarding the second question, so if we take out those noncash expenses resulting from the warrants, then we have several ingredients within the finance line. The most important one is, of course, interest of deposits. And yes, we do have interest on the deposits. Of course, not on all our cash because some of the cash is used daily for operations, or the larger part of it, and we get nice interest on it. On the other side, there are some ingredients that deduct these interest income. First of all, we still have in our balance sheet, the strategic loan we received two years ago. We repaid it based on the actual income we get for CyberKick sales. And the other part of it is, of course, the interest expense we pay on this loan, okay? So the interest is lower than the revenues we get from the CyberKick part, and it's only a few 10s of thousands of dollars for a quarter, but still it's being deducted from the interest income. And also, you have bank commissions and other ingredients. So all of it created for us only may take or give it around zero interest income. But going forward, since we do expect or hope to increase our cash balances and on the other hand, the loan, we repaid, so the interest should be lower, the interest expenses should be lower, then we do expect to see some interest income in our P&L but it's all relatively low figures. It's not millions. We're talking about 10s of thousands of dollars, maybe $100,000 and $200,000 of interest, but this is the ballpark. It's not revenues.
Brian Kinstlinger: Okay, thanks for your responses. Thank you, Avnit.
Operator: Our next questions come from the line of [Sean Sweeney] (ph) with S3 Capital. Please proceed with your questions.
Unidentified Analyst: Hey, two quick comments, guys. Congratulations on the quarter. And secondly, I think we're all Googling up to try to figure out how we can get 12% tax rate in our business also. I think that's a big one. Touching on the IFRS and the non-IFRS. Can you touch a little bit more in depth on that? And at the same time, when these warrants expire in '25, will that be a net cash benefit on that quarter?
Shachar Daniel: Okay. So I will explain and Shai will add quickly to comment. So I will expand, I will do it shorter by your permission because we discussed about it a few times. But just to make the point very clear. So yes, it's ridiculous, but sometimes you lose something when the share is going up significantly and the share rise this quarter in about $12 from January 1 to the end of March. And due to this, the valuation of our old warrants from 2019 and 2020 from different days of the company. And of course, their valuations went up because they are now closer exercise prices closer to the share price. Of course, it's all noncash, but IFRS is noncash. So we should book or record an expense of $800,000. So I hope it answers your first question. Your second question is about what happens when warrants expire next year? So Shai, you want to advise what's the financial situation in this case?
Shai Avnit: First of all, after the expiration, there will be no expensive neither income that can be also income if the share price goes down, then we will curate income. So we do prefer this expense rather than this income. But when they expire, there will be afterwards, of course, no interest at all, no expense, no income. And if they will be exercised, the exercise action does do nothing to our financials. It's only the share price compared to the exercise price. And that's it.
Shachar Daniel: And that's all. And then after also, they will not have any impact anymore, not expenses, not financial expenses. It's like they expire the same.
Shai Avnit: So I just want to summarize, if the share price will continue to go up, we will continue to see more expenses until the warrants will be expired or exercised, it doesn't matter. If the share price goes down, then we will see income. Does this answer your question?
Unidentified Analyst: Yes. Perfectly. Thank you. Thank you very much.
Operator: Thank you. Our next questions come from the line of Mark Gomes with Pipeline. Please proceed with your questions.
Unidentified Analyst: Hey, gentlemen, another great quarter. Wondering if the business trends are continuing in this quarter, you made some comment on that last quarter about how January, February were going. And then any commentary further regarding what we might be able to expect in terms of how pricing the new products can affect your revenues as well?
Shachar Daniel: Okay. So first of all, I do mention also in this time in the first, later you can go back to the transcript, the record, you will hear that I said in the beginning of the call, I mentioned that this trend of all the financial impact, financial KPIs improvement revenues and profitability and others, these positive trends are continuing with us to the second quarter. So basically, according for today, the answer is yes. Second, regarding the new products, so I think I mentioned it a few times, but I will say it again, because I want this point will be very clear. And we just started, you know we are very happy about it, yes, but our main product is in the high numbers here. And the new products now need to start a new and kick off and get into production and scale mode. So we are pushing them because we have a huge belief also in their innovation. And by the way, in there, they will bring us more customers also through our current products. But a significant impact on the revenues from this product, I don't see this year. Again, if we were $4 million or $5 million company annual revenue, I would say, yes. But due to the fact that you see that we are on a run rate, if you take this 8.44 times to make an annual run rate, so a significant impact on this runway, we are not there yet.
Unidentified Analyst: Great. Thanks again.
Shachar Daniel: You're welcome.
Operator: Thank you. We have reached the end of our question-and-answer session. I would now like to turn the floor back over to Shachar Daniel for closing remarks.
Shachar Daniel: Okay. So thanks, everybody, for joining the call and being part of our journey, and we look forward to continue to update you on our progress. Thank you very much.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.